Operator: Thank you for standing by. This is the conference operator. Welcome to the Altus Group Third Quarter 2022 Financial Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation there'll be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Camilla Bartosiewicz. Please go ahead.
Camilla Bartosiewicz: Thank you operator. Good afternoon, everyone, and welcome to Altus Group's third quarter results conference call and webcast on the period ended September 30, 2022. The news release announcing our results was issued after the market close this afternoon and is posted on our website and on our Cedar profile, along with our interim MD&A and financial statements. For those of you joining us online, we're please to introduce slides to accompany our prepared remarks. The slide deck is also available on our website to those participating by phone. Joining us today are CEO, Jim Hannon; and CFO; and Angelo Bartolini as well as Vice President of Finance and Accounting Eric Lau. We'll start with some prepared remarks, and then we'll move right into the Q&A session. If we miss any questions, please contact me directly by email. Angelo will begin by covering up our financial performance, and then Jim will provide an operational update. Please be advised that some of our remarks on this call may contain forward-looking information. Forward-looking information is based on assumptions and therefore are subject to risks and uncertainties that could cause actual results to differ materially from those projected. You can read about these assumptions, risks and uncertainties in today's press release and our most recently filed MD&A and annual information form as well as in our other filings with the Canadian securities regulators. We undertake no obligation to update forward-looking information except as required by law. Also, please be reminded that Altus Group uses certain non-GAAP and other measures as indicators of financial and operational performance. An explanation of these measures are detailed in today's IR materials, including the news release slides and MD&A and in our other filings with the Canadian securities regulators. Okay, over to you, Angelo.
Angelo Bartolini: Thanks, Camilla. Before I begin, please note, that all the figures we'll be referring to today are as reported, and our growth rates will be on a constant currency basis. We delivered another quarter of very strong results with clear evidence of our execution across numerous key metrics. Our double digits, consolidated revenue and adjusted EBITDA growth reflects continued momentum in analytics and robust CRE consulting performance. Analytics is firing on all cylinders, high growth and recurring revenue, solid bookings performance, and adjusted EBITDA margin expansion. Our continued execution is driving high sales productivity, cost optimization and enhanced operating leverage, demonstrating that we can grow and expand margins. This results in increased cash flow from operations up nearly $90 million year-over-year in the quarter. In addition to delivering solid financial results, we're making progress against our strategic initiatives and we are seeing the returns from our investments. We have momentum across our businesses as we invest in technology and strategic growth initiatives. I couldn't be more pleased to host my final earnings call at Altus delivering such an outstanding quarter. Diving into our consolidated performance, we had strength across all of our key metrics. Revenues were up 18%, of which 13% of the growth was organic. This is the sixth consecutive quarter of double digit top line growth. Profit under IFRS was $6.8 million, up meaningfully from a loss the prior year. Adjusted EBITDA was up 34%, reflecting the earnings growth from analytics. Consolidated margins were up 240 basis points to 18.5% driven by 590 basis point increase from analytics and adjusted EPS came in at $0.42, a nice increase particularly given the larger share count following the equity financing last year. To focus simplification and execution, we are improving our business performance while positioning Altus strategically for the future. This requires us to realign our operations and our resources towards our growth priorities. In Q3, we took additional cost as part of our restructuring program, recording an $8 million restructuring charge more than half related to our ongoing efforts to rationalize our office leases space in certain markets and the remainder related to employee charges. The year-to-date restructuring program charged stands at $21.9 million. Turning to our business segment performance. Starting with analytics. Analytics revenue is up 35% and notably, overtime revenue was up 40%. We're sustaining the accelerated growth and starting to put up notable margin expansion. This speaks to our sales execution bolstered by the operational improvements we've been driving healthy demand for our solutions, and our focus on enhancing operating leverage. As well, we are starting to see the results of our transition to a recurring revenue model implemented just over two years ago, which provides for greater revenue growth and margin expansion. I'm really pleased with the 25% organic revenue growth and especially the 28% organic overtime revenue growth in new high. On the earning side adjusted EBITDA was up 76%. This reflects higher revenues, improved operating efficiencies, ongoing costs optimizations, and an FX tailwind on an as reported basis from a stronger U.S. dollar. Slide nine illustrates the impact of these growth factors, which drove a 590 basis point increase in our adjusted EBITDA margins to nearly 24% in Q3. Given our strong return revenue base and low churn, this bodes well for margin expansion in future. Overtime revenue growth is an important KPI for us. We are growing this revenue stream and continue to make investments that will further improve this metric. Enjoy healthy demand for key operators while benefiting from customer expansion, as well as new customer additions. A high percentage of our revenue growth continues to come from our existing customer base, where we have a significant runway for launch or expansion. And we continue to add new customers to our roster, both in North America and internationally. In Q3, we added approximately 200 new logos for Altus. This is in addition to new logos from our other solutions. We're also seeing revenue growth internationally in our core geographies while the majority of our growth continues to come from North America we also posted notable growth in EMEA and APAC. Our bookings at $26.9 million showed a solid increase of 28% over last year, while increasing 8% sequentially, indicating continued strong demand for our offers despite the macro challenges. Most noteworthy recurring bookings were up 55% year-over-year. As a reminder, the effectiveness of our go-to- market model began to emerge in the fourth quarter of last year. While our productivity continues to grow, our year-over-year percentage growth in the future will now be office benchmarking. Turning to the CRE consulting segment. Property tax had modest revenue growth consistent with our expectations. Both the U.S. and Canadian operations had double digit growth offset by a decline in the UK. An unfavorable FX rate continues to challenge the UK business. And as discussed on the last earnings call, the UK continues to be impacted by the slowed cadence of settlement volumes at the valuation office due to resource constraints. Though impacting revenues in this quarter, it translates to a higher backlog entering 2023. Our valuation and cost advisory businesses performed well in the quarter. This reflects continued healthy market demand and effective sales execution. The growth rate also takes into account a lower compare in the same quarter last year, which experienced disruption from the Cybersecurity incident. Our final, and finally, our balance sheet and our net cash from operating activities continue to be strong. We finished the quarter with a cash position of $46.6 million and with $324 million in bad debt. The funded debt to adjusted EBITDA leverage ratio as defined in our credit agreement was 2.29 times, a nice improvement from last quarter and well below our maximum limit of 54.5 times. Applying our cash and net debt to adjusted EBITDA leverage ratio was 2.2 times. Given our growing adjusted EBITDA levels and our ability to generate strong cash flows we are able to deleverage quickly we apply our available capital towards growth initiatives. With that, I'll now turn it over to Jim to take us through some of the operational progress.
Jim Hannon: Thanks, Angelo. Good afternoon, everyone. I think everyone knows that we work out the scripted comments here, but my unscripted comments are, Angelo, what are my drop level point there. If possible, I'm so happy. These are results that we get to deliver. And we're not surprised, because we're -- the company is with the great foundation for years. And we put in operating plants last year that have just been, just everyone's just on board and it's great, thank you. So, to say I'm really pleased with third quarter performance, your prices got as an understatement. Not only was the performance great, but our strength across all of our leading indicators is up. It's a really exciting time for Altus Group and my extension for all of our stakeholders, our clients, our employees and our shareholders. Thanks to all of our colleagues for their hard work and outstanding contributions this quarter. I'm going to focus my comments on our two largest businesses; analytics and tax. The fundamentals of both businesses are very healthy. Even in the current economic environment, all parts of our businesses have performed well. 87% of our analytics revenue, our overtime, and our relationships with our tax clients represent long term and often renewed engagements. The volatility of the markets makes our offers more impactful, helping to reveal drivers of alpha, and identifying and mitigating risks to our clients portfolios in other words, reducing beta. The result again show that we're stable and quite resilient across various economic cycles. We believe we're navigating successfully in this current economic environment by focusing on resource allocation and detailed account planning and on value selling, and creating value and bringing value to our clients. Our Q3 analytics bookings are up and we have a healthy and growing tax backlog. Other indicators such as pipeline build, renewals, and sales cycles are trending nicely tracking with our expectations. Overall analytics delivered an impressive quarter. Last year and in the first half of this year, we focused on ramping up our sales productivity. As you heard today, analytics highlights include 40% overtime revenue growth, a 590 basis point margin improvement in analytics and 28% bookings growth, including recurring bookings being up 55%. With the acceleration and top line growth, we're on our path to reach our aspirational of $400 million revenue goal for analytics next year. And in the tax business, we expect to close a record revenue year. As we prepare for two important new tax cycles, which are expected to commence next year, we're poised for another multi year run of revenue growth, market share gains and enhanced operating efficiencies. Additionally, the integration with Rethink Solutions is progressing well and opens up new cross sell opportunities with a recurring revenue stream. It also advances our efforts to digitize and automate many of the manual workflows of the tax business. Turning to a quick update on ARGUS cloud adoption. We ended the quarter with 55% of our ARGUS 0enterprise users on the cloud in line with our plan. We have good visibility on upcoming contracts and expect larger clients to convert to cloud upon renewal. Based on that we maintain our target to get to the low to mid 60s cloud adoption rate by the end of the year and expect to have a large majority of ARGUS enterprise users on cloud by the end of 2023. A notable operating highlight is the upcoming launch of an important addition to our intelligence as a service offer portfolio. Investors are looking for ways to harness data and predictive analytics to improve performance and manage risks. Our next intelligence as a service offer will enable clients to harvest both through the combination of predictive models and macro economic, demographic and valuation data. It will be further enhanced through our expert led deliver. To illustrate this with a use case, consider a CRE investor focused on the retail sector looking to identify new opportunities. Client would evaluate factors such as demographic profiles, income employment trends, population growth, mobility trends, vacancy in rental rates and growth prospects, in addition to comps; all are valuable decision criteria. Without the right data, analytics, technology and expertise, this type of research takes extensive effort and time to gather and analyze. Projecting the performance of an investment based on changing economic conditions could take weeks or months. Our capabilities can reduce decision time to hours and minutes, while significantly increasing the quality of the analysis. This will be our first offer powered by our next gen technology stack, which we call the Altus Performance Platform or APP for short. The APP delivers scalable, diverse, and extensible data model designed to support advanced analytics applications. Our organic investments in technology combined with two of our most recent acquisitions, StratoDem and Reonomy converge on a platform to allow us to deliver intelligence as a service. It is an exciting time for our analytics team. Moving to operations. By design 2022 is key execution year during which we metaphorically report our foundation and got our house in order. We made focused investments in our operations, our people, our systems, and our technology to accelerate growth efficiently scale and position Altus for many years of success. While some of the work continues into next year, I'm very pleased with the team's successful execution against the strategic priorities that I laid out for you when I first took on the CEO role. As you've seen through our quarterly results, many of our investments have started generating returns, and I believe we have only scratched the surface. We have a solid foundation for growth and efficiency. During the quarter, we held our strategic planning meeting. We refined our strategic direction, investment allocation and our budget process. We start with our clients, their opportunities and challenges, and how we can help them profitably and sustainably grow their business. We know our core. We know which markets customer segments and operators represent the largest growth opportunities. We know where we need to innovate and expand our use cases to create more value for our clients and capture more users in our platform ecosystem. We know how we're positioned against the competition and what we need to do to defend the broader business. This drives our next steps, we align our 2023 budget investment requests to the most impactful opportunities. We prioritize those investments. We're confident in the successful outcome of those investments, because we have the best team in our industry driving value for our clients every day. Having recently reach my two year anniversary with Altus, I am even more excited about the future success and opportunities for Altus group. Okay, let's open up the line for questions. Operator?
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] Our first question is from Richard Tse with National Bank Financial. Please go ahead.
Richard Tse: Thanks for all that detail information. I have a question about sort of the advanced analytics on APP. Obviously, it sounds like you have a lot of sort of interesting opportunities coming. Can you help us maybe sort of size that market for Altus in terms of the incremental over and above the run rate that you are currently at? 
Jim Hannon: Sure. During Investor day last year, we sized the markets that we currently serve with our legacy franchises at over $5 billion in the six core markets that we serve U.S. Canada, UK, France, Germany, Australia. We're in many, many other countries, but those are the, that's where we focus our investments. The asset performance offers and the portfolio investment strategy and intelligence that we're bringing to the table today. We'll be doing at more scale, more efficiency with APP. Significantly grows that addressable market. So we don't get exact guidance at a product level on that. But this opens up a significantly larger market for us.
Richard Tse: Okay.
Jim Hannon: Market set before the need to connect all of the data across all of our franchises and bring in this macro economic and demographic data. We didn't really have the ability to synthesize all of that at an asset level, which now we do and our we think we have the best asset level data anywhere.
Richard Tse: Okay. Thanks. As far as the transition to the cloud, is there sort of a point or some sort of broad number one or 60%, 70%, 80% adoption that you kind of get into this point where there's another level of critical mass? Or is that not the right way to think about it?
Angelo Bartolini: Well, as we move on past, a 14, our development efforts are very focused on -- it will over the course of time, we will be limiting the entitlements on maintenance. And it will be in our clients best interests and our shareholders best interest that we get to one platform. So, it will all get to cloud. Over time, we're course sensitive to our clients who have other investment opportunities for their IT spend. And we're accommodating that as long as they're on the latest platforms. The days of managing multiple versions are over. So eventually, all of them get there. To your point is it the right way to think about it? I already think about us as the analytics business as a cloud technology business. So yes, we know our path to the low 60s. We know which clients get us there. We're operating like a cloud company inside now.
Richard Tse: Okay, great. And just one last one for me. With respect to your sort of 400 million target. It looks like the run rate is getting pretty close there. Is the assumption here that you'll get to that target without acquisitions, or would it sort of include acquisitions? 
Angelo Bartolini: Without acquisitions.
Richard Tse: Okay. Perfect. Thank you. 
Operator: The next question is from Yuri Lynk with Canaccord Genuity. Please go ahead. 
Yuri Lynk: Good evening. 
Angelo Bartolini: Hi Yuri.
Yuri Lynk: Hey everyone. So really impressive organic growth particularly against a pretty tough comp last year. Wondering if you're seeing any organic growth being driven from the acquisitions of finance active and maybe StratoDem that are now in that organic growth calculation given that it's been over a year? You mentioned same customer sales. So are you seeing some of your legacy customers, adding some of these modules on to their contracts? Or any color you can give on if that's driving any organic growth?
Jim Hannon: So, are we having organic growth in those areas?
Yuri Lynk: Are they driving it like are they, are customers, are you actually seeing your customers adding finance active or Reonomy or StratoDem to their offer ?
Jim Hannon: Yes. Absolutely. We are having success across the board. The core businesses are very strong. And those additions to the portfolio are what allow us to move to now we talked in terms of offers, unless about products or legacy brands. So, we think about strategy offers for our clients to and as they look at where should they invest next or what should they divest from, or asset performance? All of the acquisitions come together to give us that holistic view of portfolio and asset performance.
Yuri Lynk: Okay, it looks like Reonomy had about U.S. just over U.S. $5 million of revenue in the quarter. If you annualize that, which I understand is a dangerous thing to do. You're kind of getting just over 21 million of revenue. You bought it was doing 18. Is that the type of growth that you had planned for that business? And as a follow on to that has it in fact moved into EBITDA positive territory in the back half of 2022?
Jim Hannon: So a couple of things in there. That business does have a seasonality to it. And this is not the high part of the seasonality. Is the expectations long what we had? Are they in line with our expectations? Yes, I will reiterate that Reonomy was a technology buy for us. The technology in Reonomy allows us to connect asset attributes across different datasets together to get a holistic view of an asset performance and portfolio performance. That was a key part of the strategy. With that acquisition, we laid out our strategic intent, and now we're executing on it. What we said about Reonomy last year was that the Reonomy business would hit break even in Q4 of this year. Our reporting is the statutory reporting. When we bought Reonomy, we're not only buying technology, but more importantly, we were buying smart technologists and great go-to-market people. And their impact is across our entire portfolio. So Yuri the way to think about this, the way I thought about it as the president of analytics when we did the acquisition and still now was -- would it help drive expanded analytics margins in total. And as you can see in our performance it has.
Yuri Lynk: Okay, that's good color. I'll turn it over. Thanks.
Operator: The next question is from Stephen MacLeod with BMO Capital Markets. Please go ahead. 
Stephen MacLeod: Thank you. Good evening, everybody. Just a couple of questions. Just on the overtime revenue. It sounded like you made a point in the press release or the MD&A of talking about majority of growth coming from North America, but also seeing contribution from the EMEA and Asia Pac regions. So I'm just curious, can you give a little bit of color on where that growth is coming from? Is it new customers? Is it expansions? And how does that set the stage for future growth outside of North America.
Angelo Bartolini: The growth is coming from both areas. So, our number of --so if we just break down, like knew the exact numbers, but if we break down the ARGUS brand legacy view of the world, our number of clients are up significantly and our number of users are up more at a greater percentage than our number of clients. And our revenues are up greater than that, which gets back to the why the analysts have all been focused on the cloud adoption number. So, the strategy as it was as been laid out for years, and we've accelerated a bit here, is laying out in the overtime models. But that growth is coming from the user account growing faster than even the client account that comes from the high end of the market.
Stephen MacLeod: Okay. But is it, are you seeing incremental growth there from new customers? Or is it expansions within existing customers?
Jim Hannon: So we add hundreds of logos every quarter, which is primarily driven out of the ARGUS portfolio.
Stephen MacLeod: Yes. Great. Okay. Thank you for that color. And then you sort of alluded to this in your prepared remarks, but I just wanted to confirm, are you seeing any slowdown or extension in the sales cycles, just given the macro backdrop that seems to have accelerated the pressure seems to accelerated through the quarter? 
Angelo Bartolini: As you can see in the bookings numbers grew through the end of Q3. That just been extremely strong demand. And then, I made the comment of not only was our Q3 performance strong, but our leading indicators are strong. So, we measure each week how many opportunities we expect to add in the analytics business. We know what our weekly paces to go into the top of the funnel. We know the same on the tax side, by the way. And our pace of opportunities going into the top of the funnel have stayed right on track right now. So our comments of volatility can work in our favor. I think that's proving out. Market volatility.
Stephen MacLeod: Right. Right. Okay. Okay. Great. And then maybe just finally, in the last call, we had talked a lot about just the revised credit facility providing flexibility for acquisitions. I know you said in response to a previous question that your 40 million target does not require acquisitions. But is that something you're still on the lookout for strategic deals?
Jim Hannon: Always. So, we consider it's an arrow in the quiver. And we have our pulse on the market and always looking at strategic opportunities. We're working through it with the -- there's the some of the acquisitions we did last year, like Reonomy, where we just closed. It wasn't a EBITDA positive business when we bought it. We're looking with different filters at this point in time with very defined IRR, requirements as well as payback periods. But we are absolutely watching the markets and have our strategic targets, whether we use our strategic areas of growth, whether we build our buy, or partner, looking at all scenarios at all times.
Stephen MacLeod: Makes sense. Okay, great. Thanks, Jim. Appreciate it.
Jim Hannon: Yes. Thank you.
Operator: The next question is from Paul Treiber with RBC Capital Markets. Please go ahead.
Paul Treiber: Thanks very much. Good afternoon. Just a couple of questions on APP. I think last quarter, you said that it would launch Q4 . Is that still on track for Q4? And how do we think about the magnitude of revenue contribution from APP in the near term?
Jim Hannon: So APP is not a product. Someone will not come in and buy the APP. The APP is the platform upon which we can offer our advanced analytics offers. So the APP also so again, if the APP allows us to ingest data connect attributes across different franchises, different datasets, our own datasets, external datasets, and then drop that into the analytics models. So that's where the StratoDem acquisition comes in with Reonomy on top of our legacy, technology, and data. So the APP drives the ability to offer advanced analytics as well as improves our internal operating efficiency. So it allows us to target our R&D investments much more efficiently, because we're building on multiple platforms. And it allows us to deliver service much more economically, our folks can scale more, because the APP can take over some of the manual processing and analytics that our folks had to do. So it allows efficient scale as well as new products. 
Paul Treiber: Okay. That's helpful to understand. Earlier you mentioned, you're operating like a cloud company, internally, the one thing you see a lot from cloud companies, is a self service model for customers externally. Is that something that you would consider where customers can go online and sign up for ARGIS other data products?
Angelo Bartolini: Yes. Absolutely. In our investment selection for next year, it's one of the investments that team is targeting. So, we talked about the market on the analytic side is high touch, and then the scalar growth business, the smaller businesses, and then I've made the comments before that, the reason we do that segmentation is because the customer acquisition cost, and the cost of service so different at those various parts of the market. So, we know we need to enable more of that self serve, complete customer journey at that end of the market where ideally would happen without us touching it. Our internal investments and infrastructure. There, so the APP and our internal infrastructure investments, that's all thought through as one holistic architecture, so that we can enable that customer journey.
Paul Treib: And so, within transition more customers moving to the cloud. Like how you think about evolving the monetization strategy over time?
Jim Hannon: How do we think about the monetization strategy?
Paul Treiber: Yes. I mean, going from subscription in users, potentially, you evolve it to some other metric.
Jim Hannon: So, we look at -- so the point I was making about operating as a cloud company is, of course, we're going to continue growing the number of cloud users. That's just a given. And we spent a lot -- since I've come into the company two years ago, we spent a lot of time on that metric, when that's just in my mind, that's a given. So the metrics become how efficient, how much can we expand margins, without inhibiting growth. So we're doing both. We were not -- the margin expansion that we have, was predicated on building, improving the productivity of the go-to-market resources that we had. We'll be running a balance of go-to-market investments and margin expansion at the same time. So driving growth and margin expansion at the same time. The metric is going to be internally. We look at revenue per head, cost per head, for looking at LTV to CAC. I know we're not producing it externally, but we're certainly using it to drive where we're making our bets. So eventually, we'll get where we're moving to those types of metrics externally. But that's how we think about how to measure the productivity and the operating efficiencies of being a cloud company.
Paul Treiber: Okay. Thank you for taking my questions.
Jim Hannon: Sure. 
Operator: The next question is from Scott Fletcher with CIBC. Please go ahead.
Scott Fletcher: Good evening, and thanks for taking the question. A few questions on the sales process for the advanced analytics offerings. First, I wanted to ask if there's a certain category of investor, be it an asset class or maybe by the size that you're doing particularly well with or maybe even on the flip side that you haven't seen the traction you want to get yet?
Jim Hannon: Sure. We're actually doing well because we think about our go-to-market. We were go-to-market leader for analytics, but we think about it in those two segments, and the motions of those two segments are different. And we're having great success at both ends of the market. As far as the high end of the market, and selling into that market that I talked about the cost of serve. Part of the model is dedicated resources for those larger investment clients. So, we're at more of a consultative approach, with a sales approach with dedicated customer success to make sure that we're coordinating across our entire portfolio, solving all of the client's needs, versus the more the legacy all this way would have been asked several go-to-market teams, and support teams going in on a client. So there's a very specific resource allocation model at the very, very top end of the market, then there's the general high touch, and then there's the growth or scale part of the market, which activates the last question. Eventually, you'd like to get to a complete self serve model there.
Scott Fletcher: Right. Okay. Helpful. Thanks. And the second question I have is you have sort of any statistics on how often you're displacing an existing analytics offering when you are upselling someone expanding relationships?
Jim Hannon: When we're providing those solutions, we're usually displacing lots of different piece part vendors that the client has to put together themselves. But more is the case that we're not displacing anyone. They just don't have the abilities. So having an environment that where you're investing in data science and data scientists, the technology, the processes, to give them the tools. That's a huge investment. And that's the role that we play on behalf of investors. Many of our investors, of our clients, they have their own data scientists, we're here to help enable their data scientists to do their jobs more efficiently and enable their data strategies for them.
Scott Fletcher: Okay. Thanks. I'll pass it on.
Camilla Bartosiewicz: Thanks Scott.
Jim Hannon: Thanks Scott.
Operator: [Operator Instructions]. This concludes the question-and-answer session. I'd like to turn the conference back over to Jim Hannon for any closing remarks.
Jim Hannon: Alright. Well thanks, everyone, for joining us. As always, you can reach out to Camilla, if you have follow up questions. And, again, Angelo, I thank you on the last call. I think there was a little part of you that thought maybe that was your last call. And so, there's no way you would definitely do in this one. And what a great quarter to be to be part of.
Angelo Bartolini: Absolutely. pleasure to do it, Jim. Thank you.
Jim Hannon: All right. Thanks, everybody.
Operator: This concludes today's conference call. Should you have any further questions please contact Camilla Bartosiewicz at Altus Group. You may disconnect your lines. Thank you for participating and have a pleasant day.